Operator: Good morning. and welcome to the to the Synchrony Financial First Quarter 2025 Earnings Conference Call. Please refer company's Investor Relations' website for access to their earnings materials. Please be advised that today's conference call is being recorded. Currently all callers have been placed in a listen-only mode. The call will be opened up for your questions following the conclusion of the management's prepared remarks. [Operator Instructions] I will now turn the call over to Kathryn Miller, Senior Vice President of Investor Relations. Thank you. You may begin.
Kathryn Miller: Thank you and good morning, everyone. Welcome to our quarterly earnings conference call. In addition today's press release, we have provided a presentation that covers the topics we plan to address during our call. The press release, detailed financial schedules, and presentation are available on our website, synchronyfinancial.com. This information can be accessed by going to the Investor Relations' section of the website. Before we get started, I wanted to remind you that our comments today will include forward-looking statements. These statements are subject to risks and uncertainties, and actual results could differ materially. We list the factors that might cause actual results to differ materially in our SEC filings, which are available on our website. During the call, we will refer to non-GAAP financial measures in discussing the company's performance. You can find a reconciliation of these measures to GAAP financial measures in our materials for today's call. Finally, Synchrony Financial is not responsible for, and does not edit or guarantee, the accuracy of our earnings teleconference transcripts provided by third-parties. The only authorized webcasts are located on our website. On the call this morning are Brian Doubles, Synchrony's President and Chief Executive Officer, and Brian Wenzel, Executive Vice President and Chief Financial Officer. I will now turn the call over to Brian Doubles.
Brian Doubles: Thanks, Kathryn and good morning everyone. Synchrony delivered a strong financial performance in the first quarter of 2025 that included net earnings of $757 million or $1.89 per diluted share, a return on average assets of 2.5%, and a return on tangible common equity of 22.4%. These results were driven by Synchrony's ability to leverage our core strengths in order to empower our customers with prudent financial flexibility and enduring value when they need it most, while also delivering loyalty and sales to the many partners, providers, and small businesses that form the foundation of our economy. During the first quarter, Synchrony engaged with approximately 70 million customers and generated $41 billion of purchase volume. Year-over-year trends in both active accounts and purchase volume continued to be impacted by the credit actions that Synchrony previously implemented as well as continued moderation in customer spend as they navigated the challenges of affordability and economic uncertainty in their day-to-day lives. Dual and co-branded cards accounted for 45% of total purchase volume for the quarter and increased 2%, generally reflecting the growth from our CareCredit dual card launch, which began last year and has been contributing to out of partner spend ever since. Purchase volume at the platform level ranged from between down 1% and down 9% year-over-year as customers generally remain selective in their discretionary spend and bigger ticket purchases, particularly in categories like furniture, dory, outdoor, dental and cosmetics. Slide 3 of our earnings presentation provides a closer look at our weekly purchase volume during the first quarter, as well as the first two weeks of April. Our week-to-week sales were generally consistent throughout the quarter, as was the weekly variance to prior year, including in March when news of government layoffs and tariffs began to intensify. And as you can see by the generational mix of weekly sales, we saw consistent engagement across the customer base throughout the quarter with no discernible shift between generational cohorts. These portfolio spend trends, in combination with our credit actions contributed to the 2% year-over-year decline in ending receivables. From a payment behavior perspective, payment rate remained flat compared to last year but increased sequentially by 10 basis points, generally in line with pre-pandemic seasonality. This sequential increase in payment behavior occurred across all credit grades as the proportion of above minimum payments increased unless the minimum payments decreased. In aggregate, the proportion of lessen minimum payments on our portfolio remained below the 2017 to 2019 average across all credit segments. Synchrony monitors our customers' behavior very closely across our portfolio through a comprehensive set of real-time indicators and data points, which range from cash usage and utility payment data to credit bureau and auto changes. And when viewed in combination with the spend and payment behaviors we've observed, we believe that customers are continuing to manage their spending needs and payment obligations amidst the challenges of a persistent inflationary environment and an uncertain economic backdrop. Of course, our customers, partners and small and mid-sized businesses rely on Synchrony for access to financial products and flexibility with attractive value propositions and utility for wherever life may take them. Our track record of leveraging our proprietary data, sophisticated underwriting and analytics, diverse product suite and channel distribution to drive sales and enhanced loyalty has reinforced Synchrony's position as the partner of choice, and we are proud of the consistently strong partner pipeline that has resulted from this execution. During the first quarter, Synchrony added or renewed more than 10 partners, including some country, Texas A&M Veterinary Hospital, Ashley, Discount Tire and American Eagle. Synchrony is always seeking opportunities to expand access to flexible financing across the wide range of spend categories we serve, particularly those where customers seek to maximize value. Our new co-brand program with Sun Country Airlines a Minnesota-based hybrid low-cost air carrier is a great opportunity to deliver compelling utility and rewards for flights throughout the United States and to destinations in Mexico, Central America, Canada and Caribbean. We have also continued to expand our CareCredit acceptance across the veterinary space and are excited to announce that CareCredit has been named a preferred financing partner for the Texas A&M University Veterinary Medical Teaching Hospital. This new partnership reflects a significant milestone in solidifying CareCredit's acceptance at all 29 public veterinary university hospitals in the country as well as Synchrony's commitment to supporting a veterinarian community and ensuring Pet parents have access to care for their beloved pets. In addition, our program renewal with Ashley, the number one furniture selling brand in the U.S.A. and one of the world's largest furniture manufacturers, extends our nearly 15-year partnership. We are excited about the opportunity we see to help drive retail growth and enable customers to access flexible financing solutions to purchase quality furnishings that fit their lifestyle and budget. Meanwhile, our program renewal at Discount Tire will provide their 1 millions of cardholders with access to expanded utility at over 1 million U.S. locations through the Synchrony Car Care network for automotive services and repairs as well as for purchases like insurance, gas, oil changes and more. And finally, we're proud to build on our nearly 30-year partnership with American Eagle Outfitters through a multiyear extension that will continue to deliver exceptional value, enhance the customer experience and deepen customer relationships. The Real Rewards by American Eagle and Aerie loyalty program was recognized as one of America's best loyalty programs by Newsweek for the fifth consecutive year and the Real Rewards Credit Card was named my Best Retail Credit card in-store rewards for 2025. These awards reflect our collective commitment to delivering value to loyal customers and driving growth and we look forward to expanding access to these industry-leading financial solutions. So as we look to the remainder of 2025 and beyond, Synchrony remains in a position of strength. We are focused on executing across our strategic priorities, and maintaining our differentiated approach to serving our customers and partners. Synchrony's ability to optimize the outcomes for our many stakeholders has been made possible by the incredible people here at Synchrony who deeply understand their evolving needs and expectations. Our team approaches each opportunity to deliver best-in-class experiences with a passion and a commitment to excellence that is inspiring. That's why I'm so proud to share that Synchrony was named as the Number 2 Best Company to Work for in the U.S. by Fortune Magazine and Great Places to Work. This recognition is a testament to our unique culture, our company values that our employees embody every day and our unwavering dedication to keeping our people at the heart of all that we do. And as our team continues to drive innovation, expand access to flexible financing, and deliver compelling results for all those we serve. We also remain focused on building our leadership position and driving significant long-term value for our stakeholders. With that, I'll turn the call over to Brian to discuss our financial performance in greater detail.
Brian Wenzel: Thanks Brian and good morning, everyone. Synchrony's first quarter performance continued to demonstrate the strength of our differentiated business model, which has been built to deliver resilient risk-adjusted returns through evolving market conditions. We generated $41 billion of purchase volume during the first quarter, which was down 4% year-over-year when compared to a record first quarter last year include the effects of the credit actions we took between mid-2023 and early 2024, continued selectivity in customer spend behavior, and one less day in the quarter, which had approximately 1% point impact. Ending loan receivables decreased 2% to $100 billion in the first quarter due to lower purchase volume. Our portfolio payment rate remained flat versus last year at 15.8% and was approximately 60 basis points above the pre-pandemic first quarter average. Net revenue decreased 23% to $3.7 billion, primarily reflecting the impact of the Pets Best gain on sale in the prior year. Excluding this impact, net revenue was essentially flat as lower interest expense and higher other income were offset by higher RSA. Net interest income increased 1% to $4.5 billion as a 7% decrease in interest expense was partially offset by a modest decline in interest income. Our first quarter net interest margin was 14.74% and increased 19 basis points compared to last year. The increase was driven in part by lower interest-bearing liabilities costs, which decreased 26 basis points versus last year and contributed approximately 25 basis points to our net interest margin. Our loan receivable yield grew 24 basis points, primarily driven by the impact of our product, pricing, and policy changes or PPPCs and partially offset by lower benchmark rates and lower assessed late fees. This contributed approximately 20 basis points to our net interest margin. Our liquidity portfolio yield declined 88 basis points, generally reflecting the impact of lower benchmark rates and reduced our net interest margin by 15 basis points. And the mix of our interest-earning assets decreased by 62 basis points and reduced our net interest margin by approximately 11 basis points. RSA is of $895 million or 3.59% of average loan receivables in the first quarter and increased $131 million versus the prior year, primarily reflecting the program performance, which included the impact of our PPPCs. And other income decreased 87% year-over-year to $149 million due to the impact of the Pets Best gain on sale in the prior year. Excluding that impact, other income increased 69%, primarily driven by the impact of our PPPC related fees. Provision for credit losses decreased to $1.5 billion, driven by a $97 million reserve release in the first quarter compared to the prior year's reserve build of $299 million, which included $190 million reserve build related to our Ally Lending acquisition. Other expense increased 3% to $1.2 billion generally due to the costs associated with the technology investments and included a $15 million charitable contribution and a $12 million restructuring charge related to the Ally Lending business and the expected completion of its integration in the second quarter. Excluding the charitable contribution and restructuring charging packs, other expense would have been up 1% versus last year. The first quarter efficiency ratio was 33.4%, approximately 110 basis points higher than last year when excluding the impact of the Pets Best gain on sale. Taken together, Synchrony generated net earnings of $757 million or $1.89 per diluted share and delivered an average return on assets of 2.5%, a return on tangible common equity of 22.4% and a 15% increase in tangible book value per share. Next, I'll cover our key credit trends on slide 8, which highlights the efficacy of our credit actions that Symphony took from mid-2023 through early 2024; it gives us confidence in our portfolio trajectory towards our long-term net charge-off target of 5.5% to 6%. At quarter end, our 30-plus delinquency was 4.52%, a decline of 22 basis points from 4.74% in the prior year and four basis points below our historical average for the first quarter of 2017 to 2019. Our 90-plus delinquency rate was 2.29%, a decrease of 13 basis points from 2.42% in the prior year and one basis point above our historical average for the first quarter of 2017 to 2019. And our net charge-off rate was 6.38% in the first quarter, an increase of 7 basis points from 6.31% in the prior year and 54 basis points above our historical average in the first quarter of 2017 to 2019. Net charge-off dollars were down 4% sequentially. This compares favorably to the 2017 to 2019 average sequential increase of 9%. Our allowance for credit losses as a percent of loan receivables was 10.87%, which increased approximately 43 basis points from the 10.44% in the fourth quarter. Turning to Slide 9. Synchrony's funding, capital and liquidity continues to provide a strong foundation for our business. During the first quarter, Synchrony grew our direct deposits by approximately $1.7 billion and reduced our broker deposits by $338 million. In addition, we executed both secured and unsecured deals and attractive credit spreads when compared to historical deals. In the secured market, we issued $750 million of three-year bonds with a coupon of 4.78%. In the unsecured market, we issued $800 million of six-year non-call five-year note at a coupon of 5.45%. We also achieved a credit rating upgrade from Fitch, holding our long-term issuer default rating up to BBB with a stable outlook. We are proud of this rating action as it reflects Synchrony's strong balance sheet, the resiliency of our business model and strong execution as a public company over a decade since our IPO. At quarter end, deposits represented 83% of our total funding was secured and unsecured debt representing 9% and 8%, respectively. Total liquid assets increased 9% to $23.8 million and represented 19.5% of total assets 142 basis points higher than last year. Moving to our capital ratios. As a reminder, Synchrony elected to take the benefit of the CECL transition rules issued by the joint federal banking agencies. We made our final transitional adjustment of approximately 50 basis points to our regulatory capital metrics in January 2025. Our capital metrics now fully reflect the phasing effects of CECL. The impact of CECL has already been recognized in our income statement and balance sheet. We ended the first quarter with a CET1 ratio of 13.2%, 60 basis points higher than last year's 12.6%. Our Tier 1 capital ratio was 14.4%, 60 basis points above last year. Our total capital ratio increased 70 basis points to 16.5%. In our Tier 1 plus reserves ratio on a fully phased-in basis increased to 25.1% compared to 23.8% last year. During the first quarter, Synchrony completed our existing share repurchase authorization for the period ending June 30th, 2025, and returned $697 million to shareholders, consisting of $600 million in share repurchases and $97 million in common stock dividends. Given our strong capital position, we announced today that as part of our capital plan, our Board approved a new share repurchase authorization of $2.5 billion for the period ending June 30th, 2026, and increased our regular quarterly dividend by 20% to $0.30 per common share beginning in the second quarter of 2025. Synchrony remains well-positioned to return capital to shareholders as guided by our business performance, market conditions, regulatory restrictions, and subject to our capital plan. Turning to our baseline outlook for 2025 on Slide 10. Given the court order entered last week in the litigation and ultimately vacate the [indiscernible] rule, Synchrony will begin the process of assessing next steps and engaging with the partners regarding the performance of our implemented PPPCs to determine if any adjustments are warranted. Our baseline assumptions exclude any potential impact from the changes to the PPPCs as well as any potential impact from a deteriorating macroeconomic environment or from the implementation of tariffs and retaliatory tariffs as they are unknown at this point. Turning to our outlook in more detail. We continue to expect purchase volume growth to be impacted by our previous credit actions and selective customer spend behavior that payment rate will remain generally in line with 2024 levels. As a result, we are maintaining our full year expectation of low single-digit growth in ending loan receivables. We continue to expect net revenue between $15.2 million and $15.7 billion for the full year. Net interest income is expected to follow seasonal trends associated with growth, credit performance and liquidity, and will ultimately, be determined by a number of factors, including year-over-year growth in both interest income and other income as the impact of our PPPCs build, partially offset by the fall-through effect of lower average benchmark rates on our variable rate receivables. Lower assessed late fees as delinquency performance improves, a lower-yielding investment portfolio due to lower benchmark rates, and finance charges and late reversals associated with the seasonality of our credit performance. Lower average benchmark rates should also continue to contribute to lower funding costs as our CDE maturities reprice, although this will be influenced by competitive deposit beta trends in response to any additional rate cuts that may occur. In addition, we continue to expect higher level of liquidity in the second quarter given our desire to prioritize our deposit customer relationships and pre-fund future growth. We anticipate reducing our excess liquidity portfolio gradually as growth begins to build in the back half of the year. As a result, our liquid assets as a percent of total assets will average approximately 17% for the full year, which is higher than our historical average over the prior three years. We now expect RSA as a percent of average loan receivables to be between 3.70% and 3.85%, driven by improving program performance as our net charge-off outlook has improved to be between 5.8% and 6.0%. Our revised net charge-off range expectation for the full year is now inside our long-term financial framework of 5.5% to 6%, driven by our prior credit actions and differentiated approach to underwriting and credit management. And lastly, we are maintaining our expectation of an efficiency ratio of between 31.5% to 32.5%. Before I turn the call over to Q&A, I'd like leave you three key takeaways from today's discussion. First, our customers have remained stable. They've been consistently making choices that align their day to day needs and seeing value and flexibility to prudently manage their financial situations amid an inflationary and highly fluid environment. Second, Synchrony's credit trends continue to outperform relative to the industry, which is underscored by our current year outlook. Our sophisticated underwriting and credit management strategy have enabled a lower relative net charge-off peak than most of our peers and swifter expected return to our long-term target range. And while our credit actions create near-term impact on growth, our portfolio's credit position should provide greater long-term resilience as market conditions continue to evolve. And third, Synchrony's robust capital remains a clear strength. Our new capital plan reflects the confidence of our board and our company that Synchrony is well-positioned to continue to drive progress towards our long-term financial targets and deliver significant long-term value for our stakeholders. With that, I'll turn the call back over to Kathryn to open to Q&A.
Kathryn Miller: That concludes our prepared remarks. We will now begin the Q&A session. So that we can accommodate as many of you as possible, I'd like to ask the participants to please limit yourself to one primary and one follow-up question. If you have additional questions, the Investor Relations team will be available after the call. Operator, please start the Q&A session.
Operator: [Operator Instructions] We'll take our first question from Ryan Nash with Goldman Sachs. Please go ahead.
Ryan Nash: Hey, good morning guys.
Brian Doubles: Hey Ryan.
Brian Wenzel: Morning Ryan.
Ryan Nash: So, obviously, lots of concerns in the market on credit. You guys are able to take down the top end of the guide. Can you maybe just talk about what you're seeing -- what gave you the confidence to bring down the upper end of the range? And second, the allowance was up with seasonality, but can you maybe just remind us what's assumed front employment, particularly when you overlay your qualitative reserves?
Brian Doubles: Yes. So, Ryan, why don't I start on that, and then Brian can talk in more detail on the reserve assumption. Look, I think we feel pretty constructive around the consumer and the trends that we're seeing right now. I think our credit team did a fantastic job kind of navigating the last two years. I think the investments that we made in our PRISM proprietary underwriting system are certainly paying off. It was great to see turn the corner on delinquencies. 30-plus was down 22 basis points, 90-plus is down 13 basis points. I think both a little better than our expectations. With that said, we didn't adjust the guidance all that much. But we did feel comfortable given the trends that we're seeing, just tweaking it a little bit. I think what's particularly important is we're doing that with receivables, maybe just a touch softer than we expected. So, you've got the denominator impact, which isn't exactly helping. So, credit is trending better than we expected. So, we feel pretty good overall in terms of how we started the year on credit.
Brian Wenzel: Yes, Ryan, let me fill a little piece in the credit and then talk about the reserves. Obviously, as we look at the formation that was at the end of the first quarter, we're down 18 basis points versus last year were better than our 2017 and 2019 seasonality or pre-pandemic period by 4 basis points, 90 plus is right on top of that pre-pandemic period. And when we continue to look, we continue to see strength in entry rate as we -- as what's flowing into delinquency. And then what we're seeing is some improved performance in the back end of delinquency. That gives us comfort, right, how delinquency is performing and those trends have been consistent. You look at outperforming seasonality for the better part of six months, we have been outperforming seasonality on a 30 plus 90 plus. What's giving us comfort is obviously the credit actions that we've taken, both in the middle part of 2023 and middle part of 2024 has really resonated -- if you look at the vintages that we see in 2024, they're outperforming 2019 albeit it's early outperforming 2019 and 2023. So, we feel comfortable about the formation. We feel comfortable about where we're underwriting today as it relates to that. So, that's what kind of gives us comfort. I mean, we're already three months into the year, you see delinquency, which gives you a pretty good indication for the next six months. So we felt good that we're back inside of our long-term target of 5.5% to 6% as a guide for this year. Now when you think about the reserves, albeit we had a release of $97 million inside of that, we had a $5 million post upfront acquisition. So if you think about $100 reserve release, there was an increase to the qualitative reserves. So the quantitative reserve based on performance came down, but we increased the qualitative reserve over $200 million and will really underpin that is the macroeconomic overlay that essentially has a 5.3% unemployment rate end. When you factor in the imprecision factor, you're north of 5.3% on unemployment rate. So I think as we think about credit, charge-offs, we feel really good about. I think we probably -- I've been thoughtful about it in macro, at least from a reserve standpoint, as we closed out the quarter.
Ryan Nash: Got it. I appreciate the colour. And then Brian, the guidance says no changes to PPPCs is already implemented. And you mentioned starting to think about next steps. I guess, one, do we have enough clarity that the rule may not come back at a later date? And then how should we think about the timing and process as to whether you hold on to -- what's already been implemented, or inevitably, they will be reversed? Thank you.
Brian Doubles: Yeah, Ryan. So I think we feel pretty comfortable that the rule has been vacated, and we don't expect it to come back in a similar form and come in the near future. So with that said, we don't currently have plans to roll anything back in terms of the changes that we made. Obviously, now that that we have some certainty the rule isn't going to go into effect. We're going to go out and we'll talk to our partners, just like we did when we rolled out those actions. We'll be transparent like we are with any major decisions that we make related to the program. We'll look at a number of different factors. And frankly, every partner we have is going to look at this differently. We're going to look at the behavioural changes that we saw when rolled out the pricing actions. Frankly, they haven't been material. We didn't see a big reduction in accounts or spend related to the actions. We did a lot of test and control around that. Our partners will certainly look at where other merchants and providers are pricing their programs. So they always look at their competitive set. You have to keep in mind that the prime rate has come down. So our variable rate cars, consumers have gotten the benefit of that. And then lastly, we'll go through the financial impact of what it would mean if we were going to do some kind of roll back. They look at the RSA and they look at maybe a growth trade-off to that extent that there is one. And then the other thing I just want to highlight, I think this is important. Any kind of change that we're going to make could come in a variety of forms. So, that could be adding value to the car and getting value back to the consumer through promotions and offers and stuff like that. It doesn't have to just be a price rollback necessarily. We could also approve more customers at the margins where we have the opportunity to do that at attractive returns. And lastly, I'd just say, look, it's going to take some time. We're going partner-by-partner, just like it took quite a bit of time to roll out the PPPCs. It's going to take a lot of time to get through those discussions. It's complex. Every partner is going to look at it differently. And frankly, our partners are focused on other stuff at the moment just given the uncertainty in the environment.
Ryan Nash: I appreciate all the color, Brian.
Brian Doubles: Thanks Ryan.
Brian Wenzel: Thanks Ryan.
Operator: And we'll move next to Terry Ma with Barclays. Please go ahead.
Terry Ma: Hi, thank you. Good morning. I'm just curious about your growth outlook. It's good to see that you reaffirmed your year-end receivables guide in the face of an uncertain macro. But purchase volumes, loan growth, and account growth were all lower year-over-year. So, what's the driver of the return to positive growth by year-end? And is there anything you can do to help drive that?
Brian Wenzel: Yes. Thanks for the question, Terry. As we look at the -- start at the top of the funnel, the purchase line. The purchase line, we had negative 4%, it's negative 3% when you factor out a leap year. We're comping against the highest purchase volume for a single quarter -- in the first quarter in our history. So, a tough comp. What we saw last year, though was a decline in purchase volume or slowing and purchase line that began in June of last year through the end of the year. So, the comps get a little bit better. I think you see on the charts that we kind of showed in the earnings deck today, this narrative that the consumer is pulling back, we have not seen the consumer pull back for us. Sales have been consistent both on a weekly basis all the way throughout second week into April. So, sales will be consistent, and we haven't seen any generational shifts, which we try to show in the chart. So, the consumer is continuing to be resilient through this period of time. When you think about some of the other metrics when you think about active accounts and the like, part of that's really influenced by our credit actions and the impact on new accounts, that has given us a little bit of a headwind. But again, we believe that as the consumer kind of gets their footing here with hopefully a lower core inflationary market that the strength continues. And we see the pickup in volume that should accelerate through the year mainly in the back half of the year following more seasonal friends. So we're encouraged by the first quarter performance is generally in line with how we thought it would play out. We kind of -- we indicated in the dating part of the year, the first half would be much like the second half of last year. Again, once you start lapping that and getting through, we believe that a low single-digit receivable growth is achievable. This also doesn't factor in any potential adjustments to credit, right? If the environment holds the way it is today, there's some thought that we may do things that are to existing customers that we know and have relationships that could accelerate that growth, that's not factored into this outlook, that's something what consider as we watch the macroeconomic environment, how things play out.
Terry Ma: Got it. That's helpful. I guess to the extent that loan growth doesn't come in as expected in the low single digits. How does that impact the phase-in of your PPPCs, particularly the APR piece, any way to kind of quantify or contextualize that? Thank you.
Brian Wenzel: Yeah. Listen, I think you have a core book today, right, that's going to continue to build and value as the APR continues to increase. If you have lower purchase volume, that means that the phase-in approach and the projected balance will accelerate -- will be impacted -- PPPCs become effective will actually accelerate throughout year. So a lower volume actually does help the PPPCs from an interest perspective. Certainly having lower active accounts, we'll provide a little bit of headwind from an other income perspective when you think about pay for severances.
Brian Doubles: Thanks, Terry.
Operator: And we'll move next to Moshe Orenbuch with TD Cowen. Please go ahead.
Moshe Orenbuch: Thanks very much. Brian Doubles, I was intrigued by your comment about using the benefits from the mitigants or PPPCs to add value and add growth either by adding value to specific consumer propositions or by underwriting a little deeper. Maybe could you just flesh that out a little bit and talk about maybe not specific merchants, but are there categories of merchants where that's going to where each of those could work better and maybe talk about how that factors into your growth plan for 2025?
Brian Doubles: Yeah. It's interesting, Moshe. We've been talking about this. I think the investment community has been talking about this is just a simple rollback of what we've done. But given the work has already been completed to roll out the pricing changes, any changes from here on out will be similar to changes that we're always looking at with our partners. And they're typically looking at doing one or two things, incenting the consumer to spend more to drive growth for themselves, for the program, provide more value on the cards. So, one of the things that -- particularly in times that are uncertain like this, our partners lean even more heavily on the card programs. And so, we're in there discussing with some of the additional revenue can we improve the value prop a little bit? Can we do more promotions, more marketing different placements to drive growth. Those are the kind of discussions that we're having. I think the other interesting thing that we're talking to them about is now with maybe an increase in APR, can we approve more customers on the margin? Now, obviously, we would do that at very strong risk-adjusted returns. We would likely do it in our highest returning portfolios. But can we approve more of that marginal customer that may not have been approved under old APR. So, there's a number of different things that we're looking at. I wouldn't say it's unique to any one platform or industry. It really is across the board, but those are the types of things that our teams are out there working on.
Moshe Orenbuch: Great. Thanks. And maybe as a follow-up, I know I probably gave you a little bit of hard time last year about not using the share repurchase as aggressively. And your comment about waiting for some market volatility, certainly have seen that. Given that you're now past the full implementation of CECL. And at the moment, loans are not growing, you're expecting them to come back a little bit, but still be obviously, you'll be generating a lot of excess capital. Can you talk about in the current environment, given all the factors that we know positive and negative, how you think about the use of that new share repurchase authorization?
Brian Wenzel: Yes. Thanks for the question Moshe. The way we think about -- we're starting from a place where we have a lot of excess capital, right? So, -- and we know that this year, hopefully things play out, that we will generate, like other years, significant capital for utilization. Our number one priority is always going to be organic RWA growth. And again, we have a growing here low single-digits, which is below our historic norm. Obviously, we would be pleased if it exceeded that. Our second is a dividend. And you noted -- hopefully noticed this morning, we increased our dividend 20% to $0.30 per share on a quarterly basis then you need to share repurchases or inorganic opportunities. And again, we're going to be very disciplined when it comes to inorganic opportunities to add things to the portfolio or our capabilities to the portfolio either at attractive financial returns, IR or ROIC or returns that are accretive to the baseline ROA of the company as we move forward. That being said, $2.5 billion is probably one of our larger historical share repurchase. That doesn't preclude us to the extent that growth doesn't necessarily come through and going back to the board and increasing that if we deem that to be the best use of capital. So for us, it's a strategic advantage right now that we can employ either in the short-term or invest in the in the longer term. So there's a lot of flexibility as a company and gives the board a lot of flexibility how we can execute against our long-term strategy.
Moshe Orenbuch: Thanks very much.
Brian Doubles: [indiscernible] I just reiterate and emphasize that over the last 10 years we buyback half of the shares, so we are laser-focused on returning capital to shareholders in the event that we don't need it for RWA growth.
Moshe Orenbuch: Thanks very much.
Brian Doubles: Thanks very much, Moshe.
Operator: And we will move next to Mihir Bhatia with Bank of America. Please go ahead.
Mihir Bhatia: Hi, good morning. Maybe I just want to get a step back for just to amplify the macro commentary a little bit. I just want to talk a little bit about what you're seeing in your data, you're hearing from retail partners. How are they prepping for the potential of tariffs? What are you -- is there anything you guys are involved with that process with just like even thinking through what it looks like when spending the tariffs come in place, and then just on the weekly data, if you could just talk a little bit, it's been pretty stable, clearly, and you saw this in April 2. Do you think there's a little bit of a pull-forward or Easter impact in there that's maybe propping the first two weeks of April? Thanks.
Brian Doubles: Yeah. There’s around there. Let me start on that. Look, I think it's important just to differentiate between all of the uncertainty in the market and the macroeconomic features and what people are predicting. And what we're seeing right now in terms of the health to consumer. The uncertainty is clearly out there. It's impacting consumer confidence. But at this point, it's not impacting what consumers are actually doing. Spend levels are still pretty strong. Credit is performing in line to better than we expected. So, I think the consumer is still in pretty good shape and I think the labour market is strong. With that said, , look, they're being selective around how they spend. They're navigating inflation as they have been for quite some time now. I think as you look inside the portfolio, you've got the lower-income consumer, they started tapering their spend about a year ago, that was largely driven by inflation. You saw a rotation out of discretionary and bigger ticket. You're seeing still pretty good spend levels for the higher-income consumer. Our client segment grew sales 1%. Average tickets were down a little bit, but frequency was up. And I think what can't get lost in all this is that, that moderation in spending patterns is actually a positive in terms of credit. We actually are encouraged by that pullback because consumers are not overextending, they're being disciplined. So, overall, we're very pleased with the trends that we're seeing. I think it's responsible. It's in line with or better than our expectations when you look at credit. And so, I think we feel like the setup is pretty good. Now, on tariffs, we're obviously spending a lot of time with our partners. That's creating a lot of the uncertainty. I think our partners, some are more impacted than others. They're rethinking strategies around inventory management, supply chain, pricing actions. You're seeing some marketing to kind of pull forward sales. I would tell you, we haven't seen that yet. We haven't seen that materialize. We may. It's still very early, but we're not seeing it in the data. You saw the weekly data was still relatively consistent, relatively flat. So, look, we're in an uncertain situation here. We're staying close to our partners. We're doing everything we can to serve them. Times like these, like I said, you generally see our partners lean on the credit program even more heavily. Those are their best customers typically and that's where we're spending a lot of our time right now.
Brian Wenzel: Yes, let me add a little bit more color on, I think, on the outlook and then answer your second question about pull forward. When you look at look at the outlook, -- and say, well, there's no macroeconomic deterioration that's in here or the impact of tariffs. Let me give you a little bit of a framework. If you think about a traditional macroeconomic called recessionary-type environment, what you generally see in this industry rate is, in theory, slowing down a payment rate higher or above. You end up in the short-term, having higher interest income, but higher late fees, which precedes net charge-offs, put aside the reserve for a second. So, if you got into a recessionary period like today, I think we just started to see is a change in the consumer behavior that in theory, will provide you incremental revenue offset by the RSA and then charge-offs because the way in which unemployment builds, people lose their jobs, they have severance, they get unemployment, they go through a period of trying to deal with the financial situation, they went to delinquency then roll, your charge-offs are more a 2026 issue, if you were in that scenario today. Then you got to consider whether or not your reserve outlook really took an account what you think the top end of the unemployment looks like in 2025. So that's why it wasn't really factored in because there are -- if you were a very traditional recessionary environment, upside to some of the base case that's in here. When we talk about consumer behaviour attributes or from tariffs, there are two elements that come through there. One, if sales volume may get or purchase volume make get a little bit more challenged as the consumer has to spend more on certain goods and well it maybe added discretionary goods, but also payment rate should, in theory, decline, which would give you higher revolve. So those are the ones we'll watch. We haven't seen any of these factors today, either in unemployment, or in changes of behavioural impact from tariffs. Your specific question about the pull-forward and you look at the weekly sales, as we showed you the first couple of weeks April, if you look at the weeks 12 and 13 versus 15, so the second week in there, when we unpack that, there were three platforms that were impacted. One platform had what we believe is seasonal increase relative to home, which we traditionally see the spring time. One platform had a significant campaign run by our partner, was included our credit card where we saw an uplift in new accounts and activity. So that was fairly normal. And the third platform was really more Easter, I think we see it. We do not see -- even though we see some of our partners running carefully the promotions. There's been no discernible information or data that says we have any pull forward from tariffs in and of themselves.
Mihir Bhatia: Got it. That was tremendously helpful. Thank you. Maybe just switching gears a little bit to partners and competitive intensity for retail program, can you just talk about your appetite for onboarding a larger portfolio in this environment? And just relatedly, I did want to ask about deal renewals because I think in your 10-K, the percentage of revenue that's under contract 24 months out was a little lighter this year compared to the last few years. So anything to call out there? Thank you.
Brian Doubles: I think the competitive environment is pretty consistent with where it's been the last couple of years. I think we haven't been in a very stable, predictable environment. And I think when you have some uncertainty out there, I think you see issuers demonstrate a little more discipline in terms of how their pricing programs, how they're looking at the risk/return equation. We believe we have that discipline through cycles, more so than maybe anybody else. But I'll tell you, it's felt like a pretty good competitive environment. And look, we're always looking to bring on new programs. We signed some of this. This quarter, we had some great renewals big, small, we kind of cater to such a diversified set of partners, tons of small to medium-sized businesses, hundreds of thousands, and we've got really large partners that that are really attractive as well. And if you think about just the past year, we renewed Sam's Club, JCPenney, we're always in those types of discussions with our partners looking to early renew when we can outside of an RFP. And there's typically things inside of the program that as you get into these 10-year agreements, something that we want to fix something that they want to change, maybe it's a refreshed value prop. So, we'll typically get together on those with our partners and say, okay, we're both willing to make this investment let's add some years to the back end of the contract.
Brian Wenzel: Yes. And here, to answer the second part of your question, our 10-K disclosure, obviously, the year shifted between 2020 and 2024. So, we split out to 2027 and beyond from a disclosure standpoint. I think back in December when we finalized the year and produced the K in February, we're in in range relative to revenue that was beyond 2027. That's now the high 80s. So, we continue to make progress, and we have some renewals to go here in the next couple of years. As Brian has always tells us, we earn renewals every day and we'll continue to work on those over the course of the next year or so. But obviously, deliver for our partners, particularly in an uncertain environment, it's the best way to have renewals.
Mihir Bhatia: Thank you.
Brian Doubles: Thanks, Mihir. Have a good day.
Operator: And we will move next to Rob Wildhack with Autonomous Research. Please go ahead.
Rob Wildhack: Morning guys. I think last quarter, you had mentioned running with higher levels of liquidity this or -- at least for the early part of this year to prefund growth. Does that stance change at all with respect to the current macro environment and the uncertainty out there today? Is it possible that you would run with liquidity even higher now?
Brian Wenzel: First of all, thanks for the question, Rob and good morning. I think our liquidity position, as we thought about as we entered the year was two-fold. Number one, albeit a slower growth environment than historical norms, we realize we’re going to return to growth. So coming on and off in China, start the engine of growth on your digital bank and deposits didn't make a lot of sense to us, given the rate environment even if I have excess liquidity while it's a drain on NIM. If I'm borrowing at 4%, I'm getting 4.5% at the Fed, it's positive economic trade. So we weren't so troubled by having necessarily excess liquidity, number one. The view hasn't really changed relative to the asset growth. We will use it at some point as we move forward. The second benefit of having access liquidity, we're into some significant maturity towers here on CDEs that are up for renewal. So it gives us a little bit of pricing flexibility as we think about that to lower our interest-bearing liabilities cost without the fear that we're going to have to raise rates somewhere else in order to keep that customer or maintain liquidity. We expect higher liquidity most certainly in the first half of the year. As we talked about growth should accelerate in the back half of the year. So we'll begin to use that liquidity both in the back half of this year and into next year. So simple answer is no, it hasn't changed our view since December.
Rob Wildhack: Okay. Thanks. And then I just wanted to dig in a little bit and ask about dual card and co-brands. The volume and loan growth there was better than the portfolio overall and accelerated sequentially. Last quarter, you had mentioned that as kind of being a way point for a reversal of some of your tightening. Maybe this is just normal ebbs and flows, Q1, but could you just unpack that dynamic and then talk about how you're thinking about things with respect to private label growth versus dual card co-brand growth going forward? Thanks.
Brian Wenzel: Yes. Again, thanks for the question, Rob. So when you think about the dual card growth for a second, one of the areas that we've talked about prioritizing for the company has been our health and wellness. So the dual cared we have issued in our CareCredit business, which allows customers the flexibility whether they're in network using -- in many of the places where CareCredits except for the veterinary, debt offices and over the 40 specialties that we have in there, but also generating benefits in the world has been very attractive to folks who’s been one of our growth vectors for last year, and that continues to drive growth into this year. As you continue to think about our core partners, where we have a dual card private label offering, it really comes through the through-door population as we get a stronger through-door population, we're able to improve more dual cards. And they put on, they recognize the value in the world back into the brand at which they have intense loyalty to, which is why they apply for credit with us. So, I think it really is a testament to the brand strength of our partners and in places where we're leaning into from a dual card perspective. Relative [ph] to that, we still do run at a strategy where we are lower line of styles in traditional general purpose cards, which allows us to maintain a very attractive risk-adjusted margin and maintain the charge-off profile of the company.
Brian Doubles: And this is why the multiproduct strategy is so important. I mean we can start somebody off in a secured card in set pay product, private label and then migrate them over time as they demonstrate the ability to pay creditworthiness, we get to know that customer, how they spend, what types of purchases they make. And that's really the power of the multiproduct strategy. That's really resonating with our partners. We talked about new wins, renewals. That's been a key component part big renewals where we've added a product or two to those programs.
Rob Wildhack: Very helpful. Thank you.
Brian Doubles: Thank you, Rob.
Operator: And we will move next to Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thank you. I guess I wanted to follow up on credit quality. I know we've talked extensively about it. But when I look at sort of the path of the delinquency rate over the last several months and then the charge-off rates actually came down year-over-year in March, it seems like there's a good glide path all else equal, for credit to improve quite decently. I'm just trying to think about where we would expect all of equal the charge-off to migrate. Can we go below average given you've tightened so much? Maybe you could just talk a little bit about that.
Brian Doubles: Yes. Let me start at a high level, Sanjay. Look, I think we feel very pleased with the credit trends that we're seeing. The actions that we took starting in mid-2023 are clearly having the desired impact we're trending a little bit better than we expected. We talked about 30, 90, now showing down year-over-year. If you look at our performance, relative to the industry, and you benchmark that against 2019, we just simply perform better. And I think that's a lot of the investments that we've made that the investments we made in PRISM. I think our credit team has done a fantastic job navigating this. As Brian talked about earlier, I think there may be an opportunity where we can open up a little bit in the back half of the year. If we do that, it will be very methodical. We'll do that starting with our existing customers, giving them a little more spending power in some of our higher returning segments, I think we might have the opportunity to make some slight adjustments on approval rates. But generally, we feel like it's a pretty good setup for the back half of the year, and I'll turn it to Brian to talk a little more about the charge-offs guidance.
Brian Wenzel: Yeah. Sanjay, I gave some framework earlier in the call really relative to net charge-offs. I think as we look at it and you kind of peel the onion back here a little bit, there are number of factors. Number one was the credit actions that we've taken in order to -- as far as origination and authorization of transactions on existing accounts to get that in a place where we feel comfortable with that being inside of our long-term guidance. We've also made a number of changes over the last couple of years around collections, our strategies, whether it's on a pre-delinquent basis or inside delinquency where we're able to do different things than we did a couple of years ago. We think is really helping entry rate and some of the flows back in. And I think some of the activity really with regard to even our recovery operation where we in-sourced that from a third-party, it really delivered benefits. And to be honest with you, relative to peers, we didn't really have the dip in recoveries we had. So there are multiple different factors, I think, that help us produce that net charge-off rate, all of which are our view performing well right now and gives us comfort that we can hit this net charge-off rate, most certainly sitting here in mid-April.
Sanjay Sakhrani: Okay. Great. And Brian Doubles, I think was also alluding to some of the larger RFPs out there for sizable portfolios. Could you just -- I'm not sure if I heard the answer to that, but can you just talk about how you guys feel about the opportunity to secure larger portfolios?
Brian Doubles: Yeah, we are very interested in securing larger portfolios. We always have been. We have a lot of discipline though around how we evaluate those opportunities. You've got to have really good alignment with the partner, you've got to have a good deal structure that's fair and equitable with both parties, good alignment in terms of how you want to grow, because if you're going to sign a large program, it's going to go over 10 years, you have to have that alignment because you're going to have to make changes to the program, whether it's underwriting, marketing strategies, placement and those things need to benefit both parties. We do an enormous amount of financial due diligence on a lot of models. We stress those bigger opportunities significantly to make sure that as we look at a 10-year deal, we look at it every year and say, okay, are we going to like this deal in that year under these circumstances is the is the partner still going to like this deal. And so we've got a ton of rigor around that process. And at end of the day, we have other uses for our capital, and it has to compete with share repurchases and other things. And so it's got to be in line with the overall return for the business or accretive. And so these are very attractive opportunities when you look at larger programs and bring it on an earning portfolio, but it's got to meet a lot of hurdles and have a really attractive risk-adjusted return and really good alignment between the parties.
Sanjay Sakhrani: Is there a sense of timing on any of this, whether you know or not?
Brian Doubles: It sounds like you're talking about a specific opportunity or to, Ryan, that I'm obviously not going to get into. I'm sorry, Sanjay.
Sanjay Sakhrani: It’s all right. All good. Thank you.
Brian Doubles: Thanks, Sanjay.
Brian Wenzel: Thanks, Sanjay.
Operator: And we will move next to Rick Shane with JPMorgan. Please go ahead.
Rick Shane: Hey guys, thanks for taking my question. Look, I'd like to delve in a little bit more to the dual card. There was talk about the growth there. But I am curious when you think about the credit profile, is it different both from a FICO score perspective, but maybe even more importantly, from a utility perspective, should we in a slowdown expect different performance for private label versus the dual cards?
Brian Wenzel: Yeah. Good morning, Rick. Thanks for the question. Yeah, so dual card generally, we use a number of factors from right then. Yes, credit quality is one, we have our own proprietary score, as well as we use data from our partners in order to determine whether or not they're dual card eligible, or private label card eligible when we think through that, there are times when your credit score may be a little bit lower. But based on their performance, unless we give them a dual card because they perform better, they form like a higher credit rate. Generally speaking though, the credit quality of the dual card is higher, the spend in payment rates are generally higher than that of a private label card. I think as you enter -- if you were enter into an economic downturn, well, certainly, we deploy the same type of credit actions we normally would take, which would make sure we are not overextending online. We watch account transactions and authorizations, it generally will have higher severity because it's a bigger balance, but lower incident rate of charge-off where your private label book has higher instant rate because it has a generally speaking, a lower credit profile, but a lower severity rate because of the average balance and line restrictions.
Rick Shane: Got it. And can you speak a little bit to the impact of utility for the consumer being able to use the card in one place as opposed to having to be their primary card and how that impacts payment behaviors?
Brian Wenzel: Yes. Listen, I think every individual makes a payment IRP decision, right, relative to what cards. In a lot of places, they'll make decisions and look at cards based upon the brand in which they are connected with not solely utility. I mean it's not just a piece of plastic or a digital card, right? They want to sit back and say, listen, I like to go shop at retailer X or Y, and they want to continue to use that, and they use it there. That being said, we also have cards that are private label that have broad-based utility. You think about a PayPal card. If you think about an Amazon card, you think about cards that we're now being able to load into -- or will be a load Apple Pay has broad utility. So, the utility does matter, and there's lots of places where utilities broad-based. If you think about our home segment, we have home cars, car care cards that go across multiple retailers care critically across multiple specialties. So, while dual card is one, we have broad-based utility, which meets the card important to the consumer. And obviously, the connection with the brand really is going.
Rick Shane: Brian, that’s really helpful and something I can fully appreciate. Thank you.
Brian Wenzel: Thanks Rick. Have a good day.
Operator: And we will move next to John Pancari with Evercore. Please go ahead.
John Pancari: Good morning.
Brian Doubles: Morning John.
Brian Wenzel: Morning.
John Pancari: On the macro assumptions, Brian, thanks for the color regarding the baseline assumptions and why they don't dial in the recessionary backdrop. But if you did dial in a weaker macro and recessionary dynamics into the baseline assumptions, I hear you about revenue and NII may benefit from a higher revolve rate, what would it mean for your charge-off expectation? I know maybe it's kind of a 2025 thing, but it's more of 2026. I guess what I'm asking, what does a stressed charge-off level look like for Synchrony given your current business mix, your credit tightening as of today, how would that charge-off range compared to this 5.8% to 6% level that you're looking at for this year?
Brian Wenzel: Yes. Thanks for the question, John. First of all, again, go back to outlook at you. I know you talked a little bit about some of the impacts you talked about in the revenue impact. I also think on the growth side of the equation, you have lower purchase volume and slower paying rate, which kind of balance each other to some degree, it really depends upon the severity of the macroeconomic event. Again, when you sit around saying in the 22nd of April of this year, depending on the severity event, there's not as much net hard-drop impact given the fact that it takes a while to go from losing your job to rolling through net charge-offs, less you say the person is going to go back up or go into a settlement program right away, which has not been the historical norm. So to some degree, there is a lag time of generally on 9 or 12 months on certain economic events where you start to see the charge-offs. So the expectation, again, this is all theoretical because there's not an assumption here but there probably wouldn't be as much impact on that charge-off rate in 2025, if it follows some of the historical norms that we've seen on typical recessions put aside the GFC and the pandemic.
John Pancari: And care to comment on what 2026 number would look like under a recessionary scenario given your business mix and the mix in the balance sheet?
Brian Wenzel: I actually do not care to comment. We're not calling it yet or a hypothetical for inflationary or -- I'm sorry, a recessionary environment. But thanks for question.
John Pancari: I understand. And then separately, I guess, just in terms of the credit actions is, I know you indicated that you're evaluating actions to accelerate growth when you talked about some of the partnerships and everything, does that include a widening of the credit box from here, just given how your credit has performed? I mean, are you evaluating unwinding some of the tightening actions that you put in place in 2023 and 2024 to drive some acceleration in growth?
Brian Doubles: Yeah. I mean, I alluded to that earlier. I think it's something we're evaluating. We'll be very methodical about how we'll do it. We would tend to start with our existing customers. We know them well. We know how they spend. They've built a credit history with us. So we would give them a little more spending power potentially where we have higher returning segments in the portfolio, there may be an opportunity to widen the box a little bit. But everything will be done in the context of that long-term net charge-off rate. So 5.5%, 6%, we're not looking to do anything outside of that. We don't want to run well below that because we're leaving growth on the table and we certainly don't want to run above that. And you've seen us manage it back into that long-term charge-off guidance. So that's how we would approach it. We're managing through a fairly uncertain environment. So we're obviously taking that in our account, and that's why we moved pretty methodically.
John Pancari: Great. Very helpful, Brian. Appreciate it.
Brian Doubles: Thanks.
Brian Wenzel: Thanks. Have a good day.
Operator: And we will move next to Mark DeVries with Deutsche Bank. Please go ahead.
Mark DeVries: Yes. Thanks. I had a follow-up question on just capital levels and returns. You're sitting here with CET1, 13.2%, well above kind of the start target range of 10% to 11%. The question is, is that still the right target for you to manage down to? And any thoughts on kind of pace at which we should expect you to kind of manage down to those levels?
Brian Wenzel: Yes. Thanks for the question, Mark and good morning. Our target level, which we've shared is 11%. So that's the goal, which we go through. Obviously, there's some buffer around that at different points, given seasonality. But we're on a consistent pace to do that. Remember, Mark, we started out where our capital peaked at 18% CET1 in this company. And Brian highlighted earlier on the call, we've taken out over half the shares since 2016 to kind of get here now. So we understand the importance of having an efficient balance sheet. We kind of built out our Tier 2. We have a little bit more on Tier 1 and we're on a pace in which we share with our board and our regulators over the course of several years on how we -- how our capital trajectory goes. The $2.5 billion today, we think is a good position relative to our -- the earnings power there and the capital we're going to generate this year given the RWA expenditure, the increase in the dividend. And does it preclude us for coming back later in the year and discuss with the board whether or not that needs to be adjusted upwards. So while we haven't provided the framework, our outlook hasn't changed to getting back to the 11%. And again, I do think we should get some level of credit for reducing over half the shares of the company in the period of eight years.
Mark DeVries: Okay. And just a follow-up on that. When you set this latest authorization, was it kind of size to give you plenty of flexibility to outperform on the growth perspective? Because I just think about like what consensus earnings are and what implied payout if you use 100% of the repurchase with the new dividend you'd be kind of neutral to CET1 at end of the year. Am I thinking about that right? And so either you outperform on a growth perspective or it is likely you come back and potentially look to buy back more stock? Or expand the authorization.
Brian Wenzel: Yes. I think whenever we do a capital plan, what we bring to the board is a number of different scenarios. We have baseline scenarios and obviously, you have distressed scenarios. There are outlays that are in there. And so we have a full range that shows the type of resiliency the capital stack really has under different scenarios. We didn't go to the Board and say we're going to be back later this year. But, obviously, that's the option for us to discuss with the Board whether it's warranted. I mean think right now, $2.5 billion authorization is a good place to start. We'll execute throughout the year and see how growth develops and see what the opportunities are. And then if changes warranted, we'll bring it to the Board and have that discussion. But again, we're very pleased with the capital plan that has a $0.30 dividend, up 20% from our existing dividend and $2.5 million authorization, especially today, given our market capitalization, which is unfortunately lower than its true value.
Mark DeVries: Yeah. It makes sense. Thank you.
Brian Doubles: Thanks, Mark.
Brian Wenzel: Thanks, Mark.
Operator: Thank you. And we only have time for one last question. Our last question comes from the line of Don Fandetti with Wells Fargo. Please go ahead.
Don Fandetti: Hi, good morning. Brian, can you talk a little bit about the runway for CareCredit. It's been a good growth story competitively. Are you still seeing that as a fragmented market? And then also, how is the credit performance been versus your expectations?
Brian Doubles: Yeah. Look, I think we still feel great about the health and wellness platform. That is certainly if I had to pick a platform that we're really investing in and trying to grow, it is that one. It's a huge market. We've got a leadership position. We've been in the business almost 40 years. Our NPS scores in that platform are off the charts. We had a really good reputation in terms of the providers that we serve across dental and vet. And it's a growing market as well. And so Brian Wenzel talks a little bit about the CareCredit Dual Card, we're employing number of strategies to continue to grow there. It's obviously bigger ticket. So you've seen maybe just a little bit of softness here recently, but we are extremely optimistic about our ability to grow CareCredit over the long-term. And I would say on the credit performance side, generally in line with the rest of the business, although given some of the margins, we are able to underwrite a little bit a touch deeper there at very attractive risk-adjusted returns.
Don Fandetti: Okay. Thank you.
Brian Doubles: Thanks, Don.
Brian Wenzel: Thanks, Don.
Operator: Thank you. And this concludes Synchrony's earnings conference call. You may disconnect your line at this time and have a wonderful day. Thank you.